Operator: Ladies and gentlemen, welcome to The TJX Companies, Inc. Fourth Quarter Fiscal 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. As a reminder, this conference is being recorded. February 26, 2025. I would like to turn the conference over to Mr. Ernie Herrman, Chief Executive Officer and President of The TJX Companies, Inc. Please go ahead, sir.
Ernie Herrman: Debra McConnell has some opening comments. Thank you, Ernie, and good morning.
Debra McConnell: Today's call is being recorded and includes forward-looking statements about our results and plans. These statements are subject to risks and uncertainties that could cause the actual results to vary materially from these statements, including, among others, the factors identified in our filings with the SEC. Please review our press release for a cautionary statement regarding forward-looking statements as well as the full Safe Harbor statements included in the section of our website tjx.com. We have also detailed the impact of foreign exchange on our consolidated results and our international divisions in today's press release and in the Investors section of tjx.com, along with reconciliations to non-GAAP measures we discussed. Thank you. And now I'll turn it back over to Ernie.
Ernie Herrman: Good morning. Joining me and Debra McConnell on the call is John Klinger. I want to first take a moment to share our care and concern for everyone affected by the wildfires in California. While many of our associates were affected, we are grateful that they are all safe. We have offered resources to our associates and also made emergency donations to World Central Kitchen and the Los Angeles Regional Food Bank to help provide support for people who most need it. Now to our business update. I am very pleased with our outstanding fourth quarter. Our sales, profitability, and earnings per share were all well above our expectations. I am particularly pleased that our overall comp sales growth of 5% was driven by strong consistent comp increases of 4% or above at each of our divisions. Further, our comp sales growth across all of our divisions was once again driven by an increase in customer transactions. Clearly, our great values, gifting assortment, and freshness of our mix resonated with our shoppers during the holiday season. For the full year, overall sales surpassed $56 billion, and we opened our 5,000th store, a milestone for our company. I want to recognize the excellent execution across our company, which led to our above-plan results. Full-year comp store sales growth of 4%, a significant increase in profitability, and a double-digit increase in our earnings per share were all above our guidance for the year. We are confident that we continue to attract new shoppers in every country we operate in and that there are plenty of opportunities to further grow our customer base going forward. I want to thank all of our global associates for their excellent work in 2024. I am extremely grateful for their continued dedication and commitment to The TJX Companies, Inc. and to our customers every day. As we begin 2025, we are excited about the opportunities we see in our business and have many initiatives planned that we believe will further drive sales and traffic to our stores and online. Availability of merchandise is fantastic, and we believe we are in a great position to execute on our merchandising plans and keep delivering our shoppers outstanding values on great brands and fashions throughout the year. A moment. But first, I'll turn the call over to John Klinger to cover our results in more detail. Thanks, Ernie. I also want to add my gratitude to all of our global associates for their hard work and commitment to The TJX Companies, Inc. this year. Moving to our results. As a reminder, last year our fiscal calendar had an extra week in the fourth quarter. Therefore, where applicable, we'll be referencing adjusted numbers for last year's results, which exclude the impact of that extra week. Now I'll share some additional details on the fourth quarter. Net sales grew to $16.4 billion, a 5% increase versus last year's adjusted sales. As Ernie mentioned, our fourth quarter consolidated comps sales increased 5%, which was well above our plan and driven by an increase in customer transactions.
Ernie Herrman: We were very pleased to see strong comp sales increases in both our overall apparel and home categories. Pretax profit margin of 11.6% was up 70 basis points versus last year's adjusted 10.9%. Our pretax profit margin was 70 basis points above the high end of our plan. This was primarily due to a benefit from lower shrink as well as expense leverage on our above-plan sales, partially offset by higher incentive compensation accruals. Gross margin was up 100 basis points versus last year's adjusted 29.5%. This was primarily driven by a benefit from our year-end true-up of shrink expense and strong mark on. SG&A was 19.2%, up 30 basis points versus Net interest income was neutral of pretax profit margin versus last year. All this led to a diluted earnings per share of $1.23, up 10% versus last year's adjusted $1.12, and also well above our plan. As for our divisional performance in the fourth quarter, we saw strong comp store sales growth at every division, all driven by increases in customer transactions. We were particularly pleased with the outstanding sales performance at our international divisions, with TJX Canada's comp sales increasing 10% and TJX International comp sales up 7%. Now to our full-year fiscal 2025 results. Net sales grew to $56.4 billion, a 6% increase versus last year's sales. Consolidated comp store sales were up 4%, entirely driven by customer transactions. Pretax profit margin of 11.5% was up 60 basis points versus last year's adjusted 30.6%, up 70 basis points versus last year's adjusted 29.9%. This increase was driven by strong mark on, lower freight costs, and 20 basis points from shrink favorability, partially offset by higher supply chain investments. Regarding shrink, we saw favorability across all our divisions. I want to take a moment to acknowledge the great collaboration and tremendous efforts of our associates who worked extremely hard on our initiatives throughout the year. SG&A was 19.4%, up 10 basis points versus last year's 19.3%. This was due to incremental store wage and payroll costs. Net interest income was neutral to the full-year pretax profit margin versus last year. All this led to a full-year earnings per share of $4.26, up 13% versus last year's $3.76. Ernie will talk about our full-year divisional highlights in a moment. Moving to inventory. Balance sheet inventory was up 8%, and inventory on a per-store basis was up 1%. We feel great about our inventory levels and the outstanding availability we're seeing in the marketplace. We are well-positioned to flow fresh assortments to our stores and online this Right. I'll finish with our liquidity and shareholder distributions. For the full year, we generated $6.1 billion in operating cash flow and ended the year with $5.3 billion in cash.
Ernie Herrman: In fiscal 2025, we returned $4.1 billion to shareholders through our buyback and dividend programs. Now I'll turn it back to Ernie. Thanks, John. I will pick it up with some full-year divisional highlights. I am extremely pleased with the consistency of our sales performance across our divisions. Each business delivered comp store sales growth of 4% or above, and importantly, the sales were entirely driven by an increase in customer transactions. We believe this highlights the strength of our value proposition, our ability to gain market share, and the power of our wide customer demographic. At Marmax, overall sales for the full year exceeded $34 billion, and comp store sales increased 4%. Marmax's apparel and home categories both saw comp sales increases. Additionally, comp store sales increased across all of Marmax's regions and income demographics. At Sierra, which is reported with Marmax, we were very pleased with their strong performance for the year. To profitability, full-year segment profit margin increased to a strong 14.1%. With more than 2,500 total TJ Maxx and Marshall stores today, we still see plenty of opportunities to open new stores, attract more shoppers, and further grow our sales. At HomeGoods, annual sales grew to $9.4 billion, and comp store sales increased 4%. During the year, we opened our 1,000th store for this division, a great milestone. We were very pleased to see this division's segment profits surpass $1 billion and see its margin return to double-digit levels at 10.9%. We are by far the largest off-price home fashions retailer in the United States, and we continue to see plenty of opportunities to capture additional market share with both our HomeGood and HomeSense banners. At TJX Canada, full-year sales increased to $5.2 billion, and comp store sales were up 5%. It was great to see consistent performance across all three of our Canadian retail banners, which each delivered similar comp store sales increases. Segment profit margin on a constant currency basis was 13.5%. As Canada's leading off-price apparel and home fashions retailer, we believe our Winners, Marshalls, and HomeSense banners are all on track for continued successful growth. At TJX International, full-year sales exceeded $7 billion, and comp store sales increased 4% with strength in both Europe and Australia. As to profitability, I am very pleased with this division's improvement in 2024. Segment profit margin on a constant currency basis was 5.8%. In Europe, we continue to grow our footprint in our existing countries and announced our plans to open our first stores in Spain in calendar 2026. And Australia comp store sales growth was outstanding, and we can Long term we are confident that we have opportunities to capture additional market share in each country that we operate in. FTE Commerce? Overall sales increased, and we added new categories and brands to our assortment across our sites to further enhance our online treasure hunt shopping experience. Okay. Moving on. I'd like to highlight the key differentiators of our business that give us great confidence in our continued successful growth around the world for many years to come. First is our valued leadership in the United States, Canada, Europe, and Australia. We believe that our relentless focus on value every day through a combination of brand, fashion, price, and quality will continue to resonate with shoppers. Second is our very wide demographic. We want to sell everyone and believe our offerings across good, better, and best brands appeal to shoppers across most income and age demographics. Third, we believe we have one of the most flexible business models in retail. This allows us to buy close to need and adjust our selections as macro trends and consumer preferences change. Next is our differentiated treasure hunt shopping experience driven by our rapidly changing assortment. Our stores receive multiple deliveries a week of fresh branded merchandise to surprise and excite our customers. We believe this can inspire shoppers to visit us more frequently to see what's new. Beth is our world-class buying I believe the depth of experience among our thirteen plus buyers around the world is unmatched and that we have the best vendor relationships in retail. Our merchants source from an ever-changing universe of over 21,000 vendors and from more than 100 countries. Further, we continue to see a significant We are increasing our long-term store potential to a total of 7,000 stores or over 1,900 more stores in just our existing and announced geographies. This now reflects the long-term potential for HomeGoods to expand to 1,800 stores, Tiara to expand to 325 stores, and our base in Spain to grow to 100 stores. In addition to our future store growth opportunities, I want to reiterate my excitement for our newly formed joint venture with GrupoWaxo in Mexico and our recent investment in Brands for Less in the Middle East. We see both of these as a great way to participate in the growth of off-price in different areas of the world. Lastly, I am so proud of our culture, which I am convinced is a key component of our success. We continue to invest in teaching and training to develop the next generation of TJX leaders. Turning to corporate responsibility. We are excited about the progress we have made over many years and the work we have underway. On our conference calls over the past year, I've shared updates on how we support our associates and communities.
John Klinger: Our work to mitigate our impact on the environment,
Operator: and our commitment to operating ethically.
Ernie Herrman: Today, I'd like to share more about some of the remarkable efforts our TJX Foundations and associates made this past year to have an impact on the communities where we live and work. In addition to the support I mentioned earlier for people affected by the California wildfires, Buyers. In 2024, we also helped with the relief efforts for those affected by hurricanes in the southeastern United States and flooding in Austria and Poland. Further, we supported more than 2,500 nonprofit organizations globally through our TJX Foundations, Associates across the globe. Play an important part in this meaningful work by volunteering, running donation campaigns in our stores, participating in our associate-nominated grants program, and more. These are just some of the examples of work our teams are doing in our communities, and we invite you to visit tjx.com to learn more. Before I close, I want to emphasize that our primary focus remains our value gap versus traditional retailers. I am very confident that the key strengths and flexibility of our business will allow us to navigate through the current China tariff environment, just as we have successfully navigated through many other types of retail environments in our nearly fifty-year history. In closing, we feel great about our strong performance in 2024. We are confident in our plans for the year, and as always, we will strive to beat them. Longer term, we remain laser-focused on growing our business and are convinced that we can continue to increase our market share in the United States and internationally. When I look at our growth opportunities ahead, the globalness of our business, our deep talent base, our wide customer base, and the consumers continue to desire for value, I am very excited about the future of The TJX Companies, Inc. Now I'll turn the call back to John Klinger to cover our full-year and first-quarter guidance, and then we'll open it up for questions.
John Klinger: Thanks again, Ernie. I'll start with our full-year fiscal 2026 guidance. Planning overall comp store sales growth of 2% to 3%. Starting in fiscal 2026, our comp store sales will include e-commerce sales, which, as a reminder, are a small piece of our total business. We do not expect e-commerce to have a material impact on our comp sales growth. For the full year, we expect consolidated sales to be in the range of $58.1 billion to $58.6 billion, up 3% to 4%. We expect favorable foreign exchange rates to have a 1% negative I'm sorry. We expect unfavorable foreign exchange rates to have a 1% negative impact on consolidated sales growth. We're planning full-year pretax profit margin to be in the range of 11.3% to 11.4%, down 10 to 20 basis points versus last year's 11.5%. This guidance assumes a 20 basis point negative impact due to the unfavorable foreign exchange rates in transactional FX. Moving to our full-year gross margin. We expect it to be in the range of 30.4% to 30.5%. This would be down 10 to 20 basis points versus last year's 30.6% due to unfavorable transactional foreign exchange and inventory hedge. We're also planning for a slight improvement in shrink. We are expecting full-year SG&A to be 19.3%, 10 basis points favorable to last year's 19.4%, driven by a benefit from the annualization of last year's higher incentive compensation accruals. We're planning net interest income of $98 million, which we expect to deliver fiscal 2026 pretax profit margin by 20 basis points. We're currently assuming a full-year tax rate of 25.1% and a weighted average share count of approximately 1.13 billion shares. As a result of these assumptions, we're expecting full-year diluted earnings per share to be in the range of $4.34 to $4.43, up 2% to 4% versus last year's $4.26. This EPS guidance assumes a 3% negative impact to EPS growth due to unfavorable translational and transaction foreign exchange. Lastly, our fiscal 2026 guidance assumes a small from the current China tariffs on merchandise that we were committed to when these tariffs went into place. We have a great team. We have seen tariffs before. And we are confident we can navigate our way through the current China tariff environment on our future buys. Moving to the first quarter, we expect overall comp store sales to increase 2% to 3%. While weather was not favorable to the start of the quarter, we have been pleased with what we've seen recently as weather has normalized. We expect consolidated sales to be in the range of $12.8 billion to $12.9 billion. Pretax profit margin to be in the range of 10% to 10.1%, down 100 to 110 basis points versus last year's 11.1%. Gross margin to be in the range of 29.8% to 29.9%, which will be down 10 to 20 basis points versus last year's 30%. This is primarily due to unfavorable inventory hedges. SG&A to be 20%, up 80 basis points versus last year's 19.2%. This is primarily due to incremental store wage and payroll costs and the lapping of a one-time benefit last year. Net interest income of $27 million, which we expect will deliver our year-over-year pretax profit margin by 20 basis points. Tax rate of 23.2% and a weighted average share count of approximately 1.13 billion shares. As a result of these assumptions, we're expecting first-quarter diluted earnings per share to be in the range of $0.87 to $0.89 versus last year's diluted earnings per share of $0.93. I want to mention that there are several factors causing our first-quarter pretax profit margin and earnings per share to be planned lower than the remainder of the year. This includes a benefit from lower incentive compensation accruals planned in the last nine months of fiscal 2026. The lapping of a benefit from a reserve release in the first quarter of last year and the expected timing of certain expenses. Importantly, this first-quarter guidance implies that the last nine months of the year, we expect pretax profit margin to be flat to up 10 basis points and earnings per share to be up 4% to 6% versus last year. Moving to our fiscal 2026 capital plans. We expect capital expenditures to be in the range of $2.1 billion to $2.2 billion. This includes opening new stores, remodels, relocations, as well as investments in our distribution network and infrastructure to support our growth. For new stores, we plan to add about 130 net new stores, which will bring our year-end total to over 5,200 stores. This would represent a store growth of about 3%. In the US, our plans call for us to add about 40 net new stores at Maramax, 30 stores at HomeGoods, including 9 HomeSense stores. At Sierra, we plan to add about 20 stores. In Canada, we plan to add 12 stores. And at TJX International, we plan to add 22 net stores in Europe and 6 net stores in Australia. Lastly, we also plan to remodel about 500 stores and relocate approximately 40 stores in fiscal 2026. As to our fiscal 2026 cash distribution plans, we remain committed to returning cash to shareholders. As we outlined in today's press release, we expect our Board will increase our quarterly dividend by 13% to $42.5 per share. Additionally, in fiscal 2026, we currently expect to buy back $2 billion to $2.5 billion of TJX stock. In closing, I want to emphasize that we are in an excellent position both operationally and financially, to take advantage of the simultaneously returning significant cash to our shareholders. Now we're happy to take your questions. As a reminder, please limit your questions to one per person so we can answer as many questions as we can. Thanks. And now we'll open it up to questions.
Operator: Thank you. We will now begin the question and answer session. Our first question comes from Paul Lejuez.
Paul Lejuez: Hey. Thanks, guys. If you can talk about what drove the stronger performance in Canada and international, if there's anything that changed in the macro that you think worked in your favor, or was it simply better execution and also curious if you expect those businesses to continue to outperform this year. Sure, Paul.
Ernie Herrman: Yeah. Obviously, very pleased with both Europe and Canada. And the common denominator with both of them was the way we flow. First of all, you're in a gift-giving time period in Q4, and, you know, we've typically done well in Q4. These two divisions specifically executed a flow plan in terms of how late they shipped freshness in prior to Christmas. That it was extremely beneficial to their pre-Christmas, the ten days before Christmas time period, and this applies to both Europe and to Canada, and then even the post-Christmas business in both was exceptionally strong. So I give them a lot of credit on that as well as what they did in addition to going after specific gift categories, which I think was a big improvement in owning those in more depth versus the prior year. It was the balance of good, better, best across the board in Europe and in Canada as well. They also both had healthy home businesses, which helped, you know, help their total because, as you know, home spikes in Q4. And we have certain categories there that are great gift-giving categories. So I think there was a bit of a tactical execution benefit from the way they flowed and then a mix advantage in both. The way it applies to both of them. Thanks for the question. We were very pleased with, you know, both of those divisions.
Paul Lejuez: Yeah. And, Ernie, you expect them to continue to outperform? And then I guess, you know, on a related note Yeah. Paul, yes. The yeah. We've
Ernie Herrman: seen both of them continuing to very happy with the way they've been performing. And they both have really some seasoned management across those areas. That gives me a lot of space between our over there, they call it merchandise between our planning and allocation area as well as all our head merchants. We have a lot of seasoning there, and people that have gone to some of the new key roles starting about two years ago, so I think is is gonna set them up, I think, for strong execution over the next year.
Paul Lejuez: Thank you. Good luck.
Ernie Herrman: Yep. Thank you, Paul. Great question.
Operator: Our next question comes from Lorraine Hutchinson.
Lorraine Hutchinson: Thanks. Good morning. Ernie, I wanted to ask about I wanted to ask about customer behavior on both ends of the spectrum.
Operator: Are you seeing trade down at the higher end and then at the lower end of the assortment, how are customers reacting to some of the sharper price value offerings?
Ernie Herrman: Yeah. So you know, it's hard for us to really measure on that because part of our success and again, this was an extremely pleasing quarter for us to have division running a four or better when you have Canada at a ten by the way, the other thing to remember is we were up at up against a good quarter the year before. In Q4. So it becomes tough to measure on the good, better, best so to speak, or the demographics. Income because we were pretty much performing at every level across every banner that we have. And we I we've got see we did see when we look at our and again, this is where stores are store performance in different demographic areas. We saw you know, nice increases in both are below a hundred and above a hundred. Income demographic areas. And I think, Lorraine, part of the evening off that happens is with the and you've seen a lot of the write-ups. So you have I know consumer com this is Donald. They have store closures in different pockets of retailers across the US, Canada as well, by the way, Europe as well. And when you have so you you can if the reason it's top of all that noise is because, obviously, in some of those cases, we're picking up the market share. You know, home would be one of the more obvious ones where either business that had a home business as part of it or home only have closed and so there's almost not a demographic issue there, more of a category market share gain, which has been more what John and I would see in the divisions. As we have gained market share not where it's easier to measure is not by income demographic, just across all the income demographics, but in certain categories, we have outpaced.
Lorraine Hutchinson: Thank you.
Ernie Herrman: Twelve.
Operator: Our next question comes from Matthew Boss.
Matthew Boss: Great. Thanks and congrats on another nice quarter.
Ernie Herrman: Thanks, Matt. So two-part question.
Matthew Boss: First, on the continued strength in transactions, the across divisions that you saw in the fourth quarter, maybe could you elaborate on new customer acquisition trends and just how Ernie would you rate the breadth of your product assortment and value proposition into the spring maybe just near term, could you maybe elaborate on the more recent trends you've seen in the business or it fair to say that you haven't really seen any change in underlying business momentum if we parse through the impact of weather. Okay. Yeah, Matt. Great question. I was waiting for you to throw in the part about the weather. So, John, do you wanna talk to transactions, and then I'll talk to the breadth of product? Yeah. And so nice. You know, we've seen you know, again, we we continue to see strong transaction growth, and we are seeing us attracting more customers to our stores and when we look at the age demographic, you know, they tend to skew a little bit more towards that eighteen to thirty-four age range is what we've seen consistently. So we're quite pleased to see the sales growth based on, again, more customers coming to our stores. Which ties in, I think, Matt, with the other part of your question. The breadth of product, because obviously, we're conscious about continually expanding our well, our vendor base, our category of items, base. Probably home goods is one of the I would say that would be the epitome of that in terms of how we're always opening new vendors and new categories. We do it in every division. They just jump out where it's a little more obvious when you walk the store you'll find items and categories that are now expanded versus a week before in a very dramatic fashion. So I would say our breadth of product as we go into spring is, I would say, kicked up a notch from even last year. Again, that's part of our success this past fourth quarter and and the last couple of years is to continually try to bring in new vendors and new product categories while not alienating customers or category purchases on the other side of it, which is one reason we're always talking. I'm always talking about trying to sell as many people as possible. That was in our script. That's what we always talk to, you, Rod. I know we talked many times about it. So our breath we line up our plans for spring and in very wide product breadth, vendor breadth, having said that, when you start to get other than other than the weather, issue, which, you know, John mentioned when the weather was in the areas where it was normal weather, we were pleased with how we were performing. It's just, you know, we had those pockets of weather that, you know, hit a on those spots. But again Right. We're feeling very good. About the normal weather pattern areas, and we will head in the future. So I don't know if I did I answer that about the product breadth? Yeah. You did. Your debt ticked up a notch relative to a a year ago. Yes. I have a direct quote on that. That's very good. Thanks. You. Best of luck. Thank you, Matt.
Operator: Our next question comes from Brooke Roach.
Brooke Roach: Good morning, and thank you for taking our question. I was hoping we could elaborate on
Operator: your your expectations for continued expansion in merchandise margins, can you contextualize what you're embedding in your outlook for merch margin expansion as you contemplate mark on versus tariffs? And then John, on gross margins, can you speak a little bit more about your expectations for shrink for the year? Thank you.
Ernie Herrman: So let me so, Brooke, I'll I'll start off with the, you know, our approach on the mark on our merchandise margin. Touch on tariffs briefly in there, and then John can pick up on the on the actual components, financial components. The I thought we would talk about this to really try to keep it crystal clear on our approach, how this works. First of all, on the tariff situation, it's been a little gray. There's a short term you know, keep in mind that the direct imports for China for us are extremely small percentage of our business. And so although that could be in, like, in the short term, a a little bit of a perhaps a little bit of a cost associated there over the medium and long term. That really doesn't become the issue because of the way we approach our buying. So to give you an example, the the I guess, the silver lining is with consumer confidence down and a bit of a rocky environment out there, and the way our buyers operate, which is the buyers go out and they re really assess at the rate retail level what we can retail product for, and then they work it backwards.
John Klinger: To what the cost should be. And they really don't
Ernie Herrman: This their strategy is not to factor in tariffs or any other cost that actually can play into the picture here. The the way they approach is they're gonna look at what's the outdoor retail on the like item and we need the gap and we tilt between us and they're out the door that's gonna provide the amazing value for our consumer and from there, they work on the plastic and pay it's really not up to them to have to worry about what the vendor is getting you know, caught up with in terms of tariff or inflation or other costs? Because remember, we've been to the movie before recently, a few years ago with extreme inflation, and we navigated right through that at just as we will on this. It's just it's a different headline. It's just the same approach. So whether there's tariffs, no tariffs, our buyers really their focus is on buying the goods, determining the cost based off the retail we can put the goods out. So because of the environment we're in where there's a lot of, I think, consumer confidence stores closing, etcetera. I'm thinking there's more availability out there over the next six months even more than there's been, which is going to create more buying opportunities for our teams. So back to your margin, Quebec. That at a high level, I think, plays into our ability to look at, you know, margin opportunities. I'll give you another thing is we mentioned this briefly. Is the wide demographic which I've talked about a couple times. That also plays into our ability be more flexible. So if our buyers or merchants don't see something in one vendor or one good, better, best range, they can always be more flexible in terms of the way they handle the market. They can move from a a good iron to a better item if that's where the better buy is. And I think we have that advantage versus most of our competition is doesn't have that flexibility. So, again, great question. Where I'm excited about this I'm excited about the sales and margin opportunity in this environment because this is pretty much textbook situation coming up here.
John Klinger: Right. And then, Brooke, to answer your question on the shrink, we're very pleased with where our shrink rates came in this year. We are we still have our shrink committee. We're still staying very focused on this. So we do have a small improvement baked into our our plan this year, and it's really centered around the annualization of the initiatives that that from last year, but we're also at this point analyzing data on the shrink results and we will use that data to lean into some of the things that that worked last year. So we're doing a number of things. Again, the the overarching strategy is to you know, is to continue to to maintain a great shopping environment for the customers, a safe shopping environment, for our associates and customers as well.
Operator: Great. Thanks so much. Our next question comes from Michael Binetti.
Michael Binetti: Hey, guys. Congrats on an awesome quarter. Very happy to see it. Thanks. Okay.
Ernie Herrman: Don't ask you this a lot, but flow through for the year on a two, three comp is ten basis points. If we exclude the the currency,
Michael Binetti: I'm guessing that's with the less of the lingering contribution from some of those snapback
Ernie Herrman: COVID areas like freight and shrink and
Michael Binetti: even even your market a little bit for tariff this year. Is four percent
Ernie Herrman: the long-term leverage point? Is there anything changing there?
Michael Binetti: And then I just wanna I'm just curious about real estate availability. In the US. When we speak to some real estate brokers recently, they said new development is
Ernie Herrman: is is almost nothing, so there's a lot of competition for boxes from the retailers that go bankrupt. I'm I'm curious if you see any tightness in the availability of real estate in the US either for getting your boxes in or
Michael Binetti: you know, any any reason to think that there could be some rent inflation in years ahead if those dynamics I hope. Thank
John Klinger: Yeah. So on the flow through, yeah, we the model still stands where on a three to four comp with no outsized expense increases, we would expect to be flat to up ten basis points. But again, that's that's it overarching model. If we see years where we have an opportunity to you know, to do better than that, we certainly will bake that into our plans. As far as the real estate availability, so we do see a lot of availability going forward. You know, as we've talked about in the past, we we do see an opportunity to expand into some more rural areas where the department store of the area closes and we we can fill that void in that in those areas. Also, you're still seeing, you know, large box closures that we have the opportunity to either go in shop area. So, again, we still see opportunities that's kinda reflected in the, you know, the the the increase to our our sales or our store potential.
Michael Binetti: Thanks a lot, guys. Appreciate it. Thanks. Our next question comes from Chuck Grom.
Chuck Grom: Hey. Great quarter.
Ernie Herrman: Ernie, can you talk about the 5% comp in the context of category performance across apparel, home, footwear, accessories, and gifting? And then when we look ahead to 2026, how you're planning those businesses across those categories? And then for John, on the shrink rate improvement, can you just remind us where where your shrink or cool levels actually are today relative to 2019 so we can get a sense for how much is left to continue to improve I'm on the top Thanks. Yeah. Chuck, obviously, I can't get specifics on some of these categories, but directionally, I can talk to well, we were with that strong comp, you know, we were we were up in in apparel and home, but I would say the the home and some of our accessory businesses excel you know, we're better stronger than apparel. And that would be a similar way that we're looking for those business to perform in FY 2026, if you start getting into some of the know, smaller category breakout type information, you know, we we just don't give those specifics out there. But directionally, obviously, when you run a five, you have to have pretty decent apparel business also. Otherwise, you can't offset it because it's still a significant percentage of our business. The business I continue to be even more bullish on is our home business in total. As you know, it's kind of a third plus of TJX. And if you look at the home domestically here in the United States and you look at how home goods has performed versus the industry I think that's a great sign. And if some of the other, you know, new housing starts and interest rates change to be more favorable. I look at how our teams there are performing now and think that could even be more potential upside. For us. So that's why we're very bullish on home. We're the only ones that do it the way we do it. And that team specifically, what's neat on the way our home business is done, which not many people think about this, you know, there's been there's there's been discussion on, you know, tariffs at China, etcetera. Well, we actually our priority on our home business is to do goods out of Europe. Because that is a differentiator for us and a creates a an umbrella of fashion and brand and quality that other home retailers don't do. So one reason it it performed extremely well in Q4 in our home business. And that whole Europe diff piece of differentiation, I think, is going to help propel us going forward. And by the way, Europe and some of our other accessories categories that I was talking about where we performed better than the store, I think we utilize it there also as a as an offensive sales driver and a cost customers love that piece of our mix. So that is a highlight I can talk about, and and we have that plan be big going forward. Sean? Yes. So Chuck, on your question about the shrink rate, we don't publicly disclose our shrink rate. But but going forward, we still think we have some
Chuck Grom: Great. Thank you.
Ernie Herrman: Thank you.
Operator: Our next question comes from Alex Straton.
Alex Straton: Thanks. This is Chad Britton on for Alex. My question is on segment margins. You closed the margin gap
John Klinger: between HomeGoods and Marmax quite a bit in the back half of 2024. So with this recent move lower in ocean freight rates and home goods higher exposure there, it seems like the setup to close that gap even further in 2025 is is pretty favorable.
Alex Straton: Is there anything structural keeping HomeGoods from running at or closer to Marmax levels
John Klinger: over the long term? And then any color you can provide around the moving pieces of margin in both segments of 2025 would would be helpful.
Ernie Herrman: Alex, I mean, if you look at one of the major moves was obviously the HomeGoods dot com closure. I mean, that was something that was significant But, Ernie Yeah. I think we can Alex, directionally keep moving and, you know, closing the gap. Our expectations aren't that it would ever necessarily get there on because you have some categories that are innately higher margin in versus a home business on the flip side. I think our home business The way we track is probably one of the most profitable home businesses in the country or the world at the margins we're at. We did if we didn't own the T. J. Maxx and Marshalls, we'd probably be saying, wow. Look how high this is. But we do. We have the higher bar to your point. So we think we'll we think part of that is the nature of some of the some of the, you know, apparel closeout businesses that are in a Marmax are very profitable margins. But our goal is to obviously and trying to close the gap between the two. So, I mean, it's a good call out. Talk for us to kinda look and be that firmer specific in the future on it, but good call out.
Alex Straton: Thanks. I'll pass it on.
Operator: Our next question comes from Adrienne Yih.
Adrienne Yih: Great. Thanks. Thank you very much. Can you hear me?
Ernie Herrman: Yep. Yes. Oh, okay. Great.
Adrienne Yih: It's music to my ears. The it's setting up to be textbook off-price environment. So with that, my focus is really on kind of a long-term
John Klinger: store growth. So you talked about kind of this incremental nineteen hundred That's probably No. About eighteen hundred, seventeen hundred for each of the divisions at Marmax. When you're going into these kind of next eight hundred stores, how are you selecting locations you know, differentiate between TJX NMR Max. And is there an opportunity even in the US to do smaller footprint stores beyond that? The follow-up would be for Pupupo and Brands four Less. They're both two adventures. I remember you doing trade secret and buying that outright. What's the revenue sharing model there, and what's the plan for both of those? Thank you.
Ernie Herrman: Hey, Adrienne. So let let me talk to John and I will both jump in here. So the the smaller first of all, when it comes to the stores, we take every deal separately. And John's involved here as well. So when we look at potential site we're opportunistic. We're opportunistic. We look at what other brands we have see in which vicinity, we measure potential transfer sales. However, to your point, what we're seeing is some smaller markets and smaller footprint store, which I think you brought up when you were asking a question. We do see that So a good call do see that as an opportunity because there are other areas in the country where we can put in a smaller format store which won't create too much transfer. And as you know, we've had stores. We have a store a group of stores where we have all five brands down the street here. Nearest, and they all work extremely profitably. As you know, we've put in home sensors in our home goods, with minimal minimal transfer sales and in some cases have actually increased our sales. So You know, we're we're bullish on being able to add those stores in different areas Something like Sierra or HomeGoods. We were probably again, as we grow in Home HomeGoods, we were pretty conservative in our fifteen hundred number, which was the more recent number. And so the teams have looked at different different locations, different demographics, population density, and I feel it's very realistic to go the other three hundred stores, which is a bigger probably the biggest change that you're seeing incrementally. Right. And we added we added Sierra Sierra. And then Spain as well. Yep. To the to the store opportunity list. Just to talk about your question about Brands four Less, and Axo. So Brands four Less is an investment. Okay? That's not a that's not a joint venture. Axo is a joint venture. And I'd say it's early days to be talking about, you know, the long-term opportunities other than to say that, you know, we are very optimistic about what what that promote of brand can do down in Mexico in the long term.
Adrienne Yih: Fantastic. Great job. Best of luck.
Ernie Herrman: Thank you. Thanks, Adrienne. Our next question comes from Marni Shapiro.
Marni Shapiro: Hey, guys. Congrats on a great year. And congrats on being part of what I thought was one of the best social media trends during the holiday season. Oh, thank you, Marnie. I'm glad you enjoy. We the social
Ernie Herrman: media was very very beneficial even though, you know, again, we weren't behind a lot of it. So I know you weren't, but it was
Marni Shapiro: stunning. And then I was actively seeking it out when the algorithm wasn't feeding it me on a regular basis. Exactly. It was brilliant. Two quick ones. One big one, one smaller. Just Can you repeat, because you walked through them pretty quickly, the store openings for fiscal year 2026 across the globe?
John Klinger: Yeah. Certainly.
Ernie Herrman: Let me pull that out.
John Klinger: So we've got a total of 130 net new stores. Mhmm. The plan calls for 40 net new stores in Maramax. 30 stores in HomeGoods, which includes 9 at HomeSense, At Sierra, we're adding 20 stores in Canada, we're adding 12 stores.
Ernie Herrman: In Europe, we're adding in 22 net new stores.
John Klinger: And Australia, 6 net store openings.
Marni Shapiro: Perfect. And then, Ernie, this is kind of a bigger picture question, but I'm curious what your thoughts are here. You know, there's been a lot of consolidation on the brand side, some companies that have taken the IP or just, you know, have just a lot of brands within the one big company. So on that side is kind of the bulk of the business, and I'm curious or the bulkiness of the business, I'm curious if this benefiting you guys as a company because you could match their size. And then conversely, on the flip side is you have so many of these much, much smaller brands that are really popping up doing well, making some noise. Is your team having success breaking into these smaller brands as well? Because you know, it's it's obviously, it's hard to know which one of those smaller brands is going to be the next big thing So developing those relationships early. I'm I'm curious if you could talk about that in the market.
Ernie Herrman: Absolutely, Marnie. Well, first of all, both both of those situations are priorities for us. And the teams. The the buyers and the merchandise managers Even top to top management with some of the brands that have consolidated under one house even though they wanna keep as many brands as they they don't lose their business to the private label retailers per se. They're they're good at wanting to consolidate that way. We're always trying to nurture those relationships, and they know that we're probably their best outlet to have goods in an eclectic mix non-visible manner, so it you know, those those relationships are actually extremely desired on both sides of the equation. For all of those obvious reasons. What you're talking about on the second one is the more interesting because you know, we salivate over that because we like a lot of new, niche but we call them little nichey brands that keep popping up year after year, which is really what generates our Our you know, when we give you that 21,000 vendor list, it's actually it's it's not a stagnant list, meaning we have vendors a couple thousand that fall off every year, and then we're adding couple thousand new every year. And because we want all these new vendors typically, oh my gosh, ninety plus percent of them are anxious to have us in their back pocket because they know they're relying on, say, a specialty store business and they know they're gonna have x amount of leftover inventory, then they they need to have a home for even though they're not big to your point, Marty. Yeah. So and, you know, our buyers are trained on we want we wanna look at all desirable product, whether it's with a little vendor or a big vendor, and that's what makes our treasure hunt shopping experience more exciting. We don't want narrow vendor narrow big vendor assortments. We want eclectic mixes So that's why I I I love your question and that we we see that as more and more happening to your point. We often spot these little niche vendors online. They'll start some of them just start online strangely enough without a store.
Marni Shapiro: Great. That's fantastic. I'll let leave it to somebody else. Thanks, guys. Alright. Thank you, Bonnie. Thanks. Our next question comes from Laura Champine.
Laura Champine: Thanks for taking my question. A follow-up on the Q1 guide, just trying to get to the underlying profitability. How much I think you mentioned that the timing of expenses
John Klinger: I'm not sure what you said there, but if I look at the
Laura Champine: timing of the expenses and the reversal of the reserve release a year ago, what would kind of apples to apples Pretax profit margin fee.
John Klinger: So, I mean, the way to look at it is is that
Laura Champine: I mean and and these are
John Klinger: these are pretty equal. We had we had a one-time item, which is we had a CARES Act benefit last year that benefited us. So we're up against that year over year. Interest is negatively impacting us by 20 basis points as we said in the call. We've got, you know, a timing of hedge, inventory hedge we had a benefit Q4 that reversed in Q1.
Laura Champine: And then wage and payroll, so
John Klinger: mean, that that kind of explains why we have a hundred basis points of of deleverage.
Laura Champine: Okay.
John Klinger: Can you quantify the wage and payroll piece or talk to us about inflation you're seeing year on year just on that one line?
John Klinger: No. We don't get into the details of our our you know, specific wage. But but again, we we you know, we see
John Klinger: legislative increases come pretty much
John Klinger: every January.
Laura Champine: Understood. And then small one. So the TK Max business adding 22 stores, pretty significant step up. Any markets to call out or better real estate available there as what's driving that?
John Klinger: Yeah. So the the opportunities in in Europe are are largely in Germany. Although, we do have opportunities in Austria the Netherlands, Poland, in the UK. But in Ireland as well. But the But the large majority of them opportunity is is in the UK. Excuse me, in Germany.
Laura Champine: Got it. Thank you.
Operator: Our final question of the day comes from Mark Alschwager.
Mark Alschwager: Good morning. Thank you. I don't think I heard this, but
John Klinger: how are you thinking about AUR in 2026? And the strong mark on performance, what's driving that? How should we think about the further opportunity on Marcon? Wanna do the AUR. Well, again, we we don't we we I think when we talk about the opportunity, it's a combination of, you know, what the there there are a number of things that go into the the benefit that we see in our gross profit, whether it comes from higher higher price or a better buy. So we haven't been parsed
Mark Alschwager: Yeah.
Ernie Herrman: And then, Mark, on the I think you're asking about the mark on as we look forward on on the buying So the way we're looking at is, again, this environment, which as you can see, we've made healthy progress in the last couple of years on that front. I feel I feel as though, you know, some of those situations slow up a little bit, obviously. I think the environment right now, however, is a bit of as I said earlier, it is textbook. With more availability, I think heading It's almost every one of the divisions that we have because of the environment. And I I believe a consumer confidence slowdown as well as you have again, a lot of public companies are aggressive on cutting merchandise in advance. Because they have to, you know, grow their earnings. So no reason to believe that our our buyers aren't going to have additional Chinese too? You know, bit by bit, get more merchandise margin as we move forward here. The environment's just kind of set up for that.
Mark Alschwager: Fortunately.
Ernie Herrman: So although, like, you know, challenging environment overall, but those those tend to work. Pretty well for The TJX Companies, Inc. Great. Thank you. Best of luck. Thank you, Mark. And thank you all for joining us today. We look forward to outstanding you again on our first-quarter earnings call, which will be in May.
Operator: Thank you.
Operator: Ladies and gentlemen, that concludes your conference call for today. You may all disconnect. Thank you for participating.